Operator: Greetings, and welcome to the Installed Building Products Second Quarter 2025 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Darren Hicks, Vice President of Investor Relations. Thank you, sir. You may begin.
Darren Thomas Hicks: Good morning, and welcome to Installed Building Products Second Quarter 2025 Earnings Conference Call. Earlier today, we issued a press release on our financial results for the second quarter, which can be found in the Investor Relations section of our website. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements within the meaning of federal securities laws. These forward-looking statements are based on management's current beliefs and expectations and are subject to factors that could cause actual results to differ materially from those described today. Please refer to our SEC filings for cautionary statements and risk factors. We undertake no duty or obligation to update any forward-looking statement as a result of new information or future events, except as required by federal securities laws. In addition, management refers to certain non-GAAP and adjusted financial measures on this call. You can find a reconciliation of such non-GAAP measures to the nearest GAAP equivalent in the company's earnings release and investor presentation, both of which are available in the Investor Relations section of our website. This morning's conference call is hosted by Jeff Edwards, our Chairman and Chief Executive Officer; Michael Miller, our Chief Financial Officer; and we are also joined by Jason Niswonger, our Chief Administrative and Sustainability Officer. Jeff, I'll now turn the call over to you.
Jeffrey W. Edwards: Thanks, Darren, and good morning to everyone joining us today. As usual, I will start the call with some highlights and then turn the call over to Michael, who will discuss our financial results and capital position in more detail before we take your questions. IBP continues to deliver strong financial results, demonstrating the high-value installation services we provide our homebuilding customers. Our market positioning and focus on service is especially valuable as many homebuilders rely on relationships with experienced partners to navigate today's evolving market dynamics. While we expect housing affordability to remain a challenge over the near term, we are confident in the long-term fundamentals of the U.S. housing industry and the effectiveness of our growth-focused capital allocation strategy. We are focused on growing earnings and cash flow through geographic expansion and end product and end market diversification. We will continue to explore opportunities for operational improvements and remain disciplined with capital allocation. Through the first half of 2025, we paid nearly $68 million in cash dividends or $2.44 per diluted share and repurchased approximately $84 million of our common stock. As we pursue profitable growth while maximizing returns for our shareholders, we remain committed to doing the right thing for our employees, customers and communities. Looking at our second quarter sales performance. Consolidated sales increased 3% and same-branch sales grew 1%. In our largest end market, same-branch new single-family installation sales were roughly flat compared to a nearly 10% decline in U.S. single- family completions relative to the same period last year. Our relative performance is encouraging and reflects a tremendous effort from employees at branches across the nation as well as at support group. Sales in our multifamily end market held up well on a relative basis with backlogs at key branches showing growth on a year-over- year basis. According to the U.S. Census Bureau, we have seen double-digit multifamily starts growth in the 2025 second quarter relative to the same period last year. This is the first time we have witnessed double-digit multifamily starts growth in nearly 2 years and the first time observing 2 consecutive quarters of positive starts growth since the first quarter of 2023. While this data is subject to revisions, the conclusion that the market is improving is consistent with the multifamily activity we are seeing in several markets in which we compete. On a same-branch basis, second quarter commercial sales in our Installation segment increased 9% from the prior year period. Our heavy commercial activity continued to be the dominant driver of sales growth in this end market. Based on the growth in our heavy commercial backlog, we believe sales are poised to remain healthy beyond 2025. During the 6 months ended June 30, 2025, cash flow from operating activities increased 11% to $182 million, which primarily reflected effective management of working capital. The pace of acquisitions has slowed this year relative to prior years, but we remain disciplined in our approach to find well-run businesses that will support attractive returns on invested capital, make strategic sense and fit well culturally. Our core residential installation end market remains highly fragmented with considerable opportunity for consolidation. As previously announced, during the 2025 second quarter, we acquired a Wisconsin-based installer of spray foam and air barrier products in the commercial end market with annual revenue of nearly $4 million. To date, we have acquired over $10 million of annual revenue, and we continue to work toward acquiring over $100 million in annual revenue. Based on the U.S. Census Bureau, single-family starts year-to-date through June 2025 have decreased by 7%. With the current interest rate environment and related housing affordability challenges expected to persist, we believe a larger than previously expected decline in single-family housing starts is likely this year. Still, over the long term, we continue to believe that our business is supported by a fundamental undersupply of residential housing and the gradual adoption of advanced building codes for the purpose of improved energy efficiency across the U.S. We believe IBP continues to operate from a position of strength as we take advantage of opportunities and navigate any challenges in the second half of the year. Our strong customer relationships, experienced leadership team, national scale and diverse product categories across multiple end markets create a solid platform for IBP to perform well through the ebbs and flows of demand related to the U.S. construction market. Although macroeconomic uncertainty influences prevailing market conditions in our industry and many others, we remain focused on profitability and effective capital allocation to drive earnings growth and value for our shareholders. I'm proud of our team's continued success and commitment to doing an excellent job for our customers. To everyone at IBP, thank you. I remain encouraged by our competitive positioning, and I'm optimistic about the prospects ahead for IBP and the broader insulation and complementary building product installation business. So with this overview, I'd like to turn the call over to Michael to provide more detail on our second quarter financial results.
Michael Thomas Miller: Thank you, Jeff, and good morning, everyone. Consolidated net revenue for the second quarter increased 3% to a second quarter record of $760 million compared to $738 million for the same period last year. Same-branch sales for the Installation segment increased 1% for the second quarter with a 9% increase in commercial same-branch sales partially offset by a single-digit decline in residential same-branch sales. Although the components behind our price/mix and volume disclosure have several moving parts that are difficult to forecast and quantify, we achieved a 0.8% increase in price/mix during the second quarter. This result was offset by a 1.1% decrease in job volumes relative to the second quarter last year. It is important to note that the results of our heavy commercial end market are not included in the price/mix volume disclosures. With respect to profit margins, in the second quarter, our business achieved adjusted gross margin of 34.2%, an increase from 34.1% in the prior year period and up from 32.7% in the 2025 first quarter. The year-over-year increase in margin during the quarter was in part related to a shift in customer and product mix. Adjusted selling and administrative expense as a percent of second quarter sales was 18.8% compared to 18.5% in the prior year period. The increase was due primarily to higher administrative wages and higher facility costs. Of the $7 million increase in adjusted selling and administrative expense, approximately $3 million was due to acquisitions. Adjusted EBITDA for the 2025 second quarter increased to $134 million, reflecting an adjusted EBITDA margin of 17.6% and adjusted net income increased to $81 million or $2.95 per diluted share. Although we do not provide comprehensive financial guidance, based on recent acquisitions, we expect third quarter 2025 amortization expense of approximately $10 million and full year 2025 expense of approximately $40 million. We would expect these estimates to change with any acquisitions we complete in future periods. Also, we continue to expect an effective tax rate of 25% to 27% for the full year ending December 31, 2025. Now let's look at our liquidity position, balance sheet and capital requirements in more detail. For the 6 months ended June 30, 2025, we generated $182 million in cash flow from operations compared to $164 million in the prior year period. The year-over-year increase in operating cash flow was purely associated with improvements in working capital, which more than offset lower year-to- date net income. Our second quarter net interest expense was $8 million for both the 2025 and 2024 second quarters as lower interest income from investments was offset by lower cash interest expense on outstanding debt. At June 30, 2025, we had a net debt to trailing 12-month adjusted EBITDA leverage ratio of 1.15x compared to 1x at June 30, 2024, which remains well below our stated target of 2x. At June 30, 2025, we had $356 million in working capital, excluding cash and cash equivalents. Capital expenditures and total incurred finance leases for the 3 months ended June 30, 2025, were approximately $16 million combined, which was approximately 2% of revenue. With our strong liquidity position and modest financial leverage, we continue to prioritize allocating capital to achieve the best returns on capital and distributing excess cash to shareholders. During the 2025 second quarter, IBP repurchased 300,000 shares of its common stock at a total cost of $49 million and 500,000 shares at a total cost of $84 million during the 6 months ended June 30, 2025. At June 30, 2025, the company had approximately $417 million available under its stock repurchase program. IBP's Board of Directors approved the third quarter dividend of $0.37 per share, which is payable on September 30, 2025, to stockholders of record on September 15, 2025. The third quarter dividend represents a 6% increase over the prior year period. With this overview, I will now turn the call back to Jeff for closing remarks.
Jeffrey W. Edwards: Thanks, Michael. I'd like to conclude our prepared remarks by once again thanking IBP employees for their hard work and commitment to our company. Our success over the years is made possible because of all of you. Operator, let's open up the call for questions.
Operator: [Operator Instructions] Our first question comes from Stephen Kim with Evercore ISI.
Stephen Kim: Yes, really impressive results here in a challenging environment. Lots of things we could potentially ask, but I guess you alluded to customer and product mix improving. You said it's not due to heavy commercial because it's not included, I think, in there. But just wanted to get a little bit more detail on what kind of mix improvement you're seeing, like kind of which end markets, what kind of customer change are we seeing, that kind of thing?
Michael Thomas Miller: Stephen, it's Michael. Thanks for the question. So really, it's 2 things on the mix front. We continue to see better relative performance from the regional and local builders than we did with the large national public builders during the quarter, which is the same thing as in the first quarter. Although on a relative basis, performance with both of -- or really all of the single-family business improved quite well relative to the first quarter of last year. I think in part because the weather issues that we had in the first quarter, we were able to work through and catch up on that work faster in the second quarter than we had expected. So that was definitely a benefit. When our sales growth is greater with the regional local builders because of their higher average job price, that benefits the price/mix disclosure. The other thing that helped us is we did see solid growth in the complementary products, and we're continuing to see really good gross margin improvement in the complementary products. I mean the margins are still considerably lower than insulation. But in the quarter, the gross margin for the other products improved 100 basis points.
Stephen Kim: And just to follow up on that complementary product margin improvement. What do you attribute that to? Or was it, again, an issue of certain products within the complementary category that did particularly well, and those happen to be the ones that have higher margins than others. Just help us understand a little bit about what's going on within that.
Michael Thomas Miller: Yes, it was fairly even improvement across. You're always going to have sort of puts and takes, particularly if you're looking at just a quarter. But the team has been working very hard to improve the margins there, particularly as the insulation environment, given the weakness and continued weakness that we all are aware of in the single-family side of the business and what we believe will be -- continue to be weakness in multifamily through '25. So it really -- and we've talked about this in previous quarters, it really focuses them highly on the complementary product opportunity. And from their perspective, obviously, they want to get that margin as close to the insulation margin as possible. Another thing that's been a tailwind there has been, and we've talked about this in previous quarters, is that CQ is doing an excellent job for those people on the call, CQ is our sort of centralized multifamily management group that manages about 45% of our multifamily revenue. They've done an excellent job of, one, increasing the penetration of the complementary products in multifamily and doing it at very acceptable margins. So there's really been several factors that have come together to contribute to what the team has done is a pretty incredible performance in the quarter.
Operator: Our next question comes from Michael Rehaut with JPMorgan.
Alexander William Isaac: This is as on for Alex Isaac on for Michael today. Congrats on the quarter. I wanted to ask about fiberglass and how price and supply trended in 2Q and then how you see that going on through the back half and potentially affecting price cost going forward?
Michael Thomas Miller: This is Michael again. So we continuously work with both our customers and our suppliers for all of our materials, including fiberglass. And it's the continuous management of making sure that our price cost is managed successfully. I think that Owens Corning made it pretty clear in their call that there has not been real price deflation on the fiberglass side. And we continue to believe that the environment will remain relatively benign across the products that we purchase domestically. We do think that we will -- while the impact from tariffs in the first half of the year has been immaterial, and we don't expect to see a material impact in the third quarter. There is an opportunity or we believe I mean, not knowing where things are going to ultimately end up, but we believe that we will start to see an impact in the fourth quarter, maybe $5 million or so relative to the tariffs. Now obviously, we will work with our customers and our suppliers to manage any impact that the tariffs may have, but we need to be cognizant that, that's definitely a challenge going into the fourth quarter of this year.
Alexander William Isaac: And then on the follow up, I want to ask about single-family and multifamily volumes. And you mentioned that there might be some downside to the single-family, but I want to ask in 2Q, what sort of drove the outperformance of IBP against the overall market? And how do you see that trending throughout the rest of the year?
Michael Thomas Miller: Yes. So this is Michael again. And I would say that, first and foremost, we have to thank and compliment our field team, they did an incredible job of performing in what is a very challenging environment in both single-family and multifamily. What I'll do is just sort of call out some states and the states that I'm going to call out are all larger states for us where we have greater than $10 million of revenue a quarter. So we had mid- to high single-digit growth in the Carolinas, so both North and South Carolina, Virginia, Texas, Tennessee, Ohio, Indiana and Minnesota. So what you're seeing there is we're really benefiting from our historical strength in our Midwestern markets and upper Midwestern markets. The large states for us that were sort of flattish in the quarter were California, Georgia, Washington and New Jersey. Really, the big exception for us from a performance perspective on a statewide basis was Florida. I think everybody knows that Florida, both from a single-family and multifamily perspective is really struggling right now. And I think most people on the call realize that while we have a very large presence in Florida, our market share there is not what it should be, and we've talked about that before. I guess, perversely to some extent, are lower than what we should have market share benefited us given the fact that Florida was so negative during the quarter.
Jeffrey W. Edwards: Yes. So let's say our share is exactly where we wanted it to be. Not maybe too much.
Michael Thomas Miller: Exactly. Although, I mean, ultimately, Florida is a good state. But we were particularly impressed with the team's efforts in Texas, given some of the noise in some of the Texas markets, but the team performed really well. So we're really -- we're very proud of what they've done.
Operator: Our next question comes from Mike Dahl with RBC Capital Markets.
Michael Glaser Dahl: Just a follow-up on just first diagnosing the outperformance in the quarter. I appreciate the regional commentary. I mean this is a pretty stark outperformance against any metric we can see for kind of starts or your peers or suppliers. So I just want a little more color on outside of just regional and execution, the quantification of help us understand those weather and timing issues or maybe quantify kind of the complementary growth versus the installation growth. I think it would just be helpful if we all had a better sense for -- this was just such a strong spread versus the market, just what was driving it.
Michael Thomas Miller: Yes. So as I mentioned earlier, we did see good growth. I'll be honest with you, better than we expected growth with the regional and local builders. And that growth continued through July, actually. July was a pretty solid month for us. The new residential, so single- family and multifamily combined was up very low single digits, I mean, in essence, flat. And new commercial, which is a combination of both the light and the heavy commercial business was up high teens. So the team continues to perform. Now do we expect that there's going to be more headwinds or heavier -- stronger headwinds in single-family and multifamily as we go through the year? Absolutely. But we have confidence that the team will continue to perform better than the overall market. And clearly, I think they've demonstrated that in the second quarter. Just to give you a sense, the regional and local builders in the quarter were up mid-single digits for us. And just as a reference point, the publics, the large production builders represent about 30% of our overall new single-family revenue, which is about 60% of our overall revenue. So that relative outperformance from the regional and locals really did kind of help our relative outperformance to the overall market.
Michael Glaser Dahl: Okay. That's helpful. And then just -- I mean, just on that point on forward looking, I know you don't give the guidance, but given your comments about acknowledging kind of the lag starts or declines are accelerating or building market pressures, the July commentary is certainly helpful. And anything else you can provide in terms of kind of directionally your order of magnitude, how you're thinking about the balance of the year for your markets and then your performance quantitatively relative to that?
Michael Thomas Miller: Yes. And thanks for reiterating the fact that we don't provide guidance. But I would say that our thought on the single-family market is pretty much consistent with the commentary that most companies have provided this quarter. In terms of single-family starts being down, I think at this point, we can say double digits as it's just high single digits and that the comps are going to -- it's going to become more difficult on the starts front as we go through the second half. When we look at -- one of the things, as you know, that we do each quarter is we look at our sales to the publics and then what obviously they report and then consensus as well. And when we came out at the end of the year and reported in the first quarter, that indicated that our sales with them would have been up 3%, right? After the first quarter, that same information would have said that our sales are going to be down 3%. Now after the second quarter, what it would say is that our second half sales with them are going to be down at least 5%, right, so mid- single digits. So what's the reason I'm even making this point or sharing this information is I think as we go through the back half of the year, we're definitely going to face increasing challenges as it relates to single-family. On the multifamily side, we are extremely pleased with the progress we're making there. Starts continue to be up, which we think is fundamentally very strong for the multifamily market. Our backlogs in multifamily are increasing. Bidding activity has picked up. We think that where we are right now on the multifamily side backlogs that we're feeling very constructive about what multifamily looks like in 2026. But again, I have to reiterate that there's definitely going to be increasing headwinds in multifamily as we continue to work through the units under construction in the backlog that's there. That will be a continual headwind for the back half of the year. That being said, as has been the case for years now, our multifamily business will outperform the overall market.
Operator: Our next question comes from Susan Maklari with Goldman Sachs.
Susan Marie Maklari: Good morning, everyone. My first question is going back to the gross margin. I want to talk a bit about the strength that you saw there. I appreciate your comments on the complementary products and how those are adding. But it also seems like the core gross margin in there is holding on well despite all the pressures that are going on in housing. Can you talk a bit more about what you're seeing in there and how we should think about puts and takes over the coming quarters?
Michael Thomas Miller: Yes. I mean, clearly, the complementary products improvement in gross margin helps, although I would say there's an offset to that because their margin is still below insulation margin. And because insulation revenue in the quarter was basically flat and the complementary products revenue increased high single digits, that lower margin is actually a bit of a pressure on overall gross margin just because you have a higher rate of sales or a higher percentage of sales coming from lower-margin products, even though they were considerably higher gross margin than they had been in the previous quarter. That's a lot to digest in that answer, so I apologize for that. The other thing that was definitely a headwind in this quarter and then in last quarter is definitely the performance of the heavy commercial business, particularly Alpha has done in -- that's a headwind, sorry, tailwind. Actually, the heavy commercial business is performing exceedingly well, both from a revenue perspective and a margin perspective. I think we said in the first quarter that we expected that in the back half of the year, the strength in heavy commercial would offset the weakness in light commercial. Obviously, it's more than offset the weakness in light commercial in this quarter, and we expect that trend to continue as we go through the back half of the year. The team, our heavy commercial team is just really doing an excellent, excellent job. Obviously, we have some structural or industry fundamentals that are supporting us. I mean, as you know, everyone talks about what's going on from a data center perspective and just the opportunity that's there. Our manufacturing and industrial backlogs are -- have increased significantly, and we're continuing to bid those jobs and bid them at very acceptable margins.
Susan Marie Maklari: Okay. That's great color. And then you also noted in your remarks that the pace of acquisitions has slowed this year. Can you talk about the pipeline that you're seeing on deals and how we should think about your ability to hit that $100-plus million target for 2025?
Jeffrey W. Edwards: Yes, this is Jeff. So I guess to even be more specific, I'd say the pace of closing deals has kind of fallen off, which, again, for reasons sometimes completely beyond our control. We've had a number of deals over the last 24 months, some of size that, for one reason or another, made it nearly to the finish line and either one didn't happen for a particular reason, and/or to have taken longer as we work through issues with that particular purchase. So we still feel good about our prospects, and we haven't been reporting this, and Michael can maybe even add detail. But we've done a number of smaller deals, too. What we're calling bolt-on deals that are not material enough probably individually to be sending out releases, et cetera. But it's really a look forward into getting more geography and more share into these other products covered by these bolt-on acquisitions. So I mean, we continue to feel good that there's a good pipeline out there. There's some big businesses we still think that are potentially going to be in the market, even in our core kind of insulation competency grouping. And we continue to look at other products and even other verticals to a degree and always will, really, I think. So it's just been kind of tough to get a few deals closed.
Operator: Our next question comes from Keith Hughes with Truist Securities.
Unidentified Analyst: This is Joe here on for Keith...
Michael Thomas Miller: Could you -- you're really breaking up. It was very -- we didn't understand that question, sorry.
Unidentified Analyst: Sorry about that. I'll repeat. I mean can you talk a little bit about heavy commercial and are there any signs of life for the light commercial side?
Michael Thomas Miller: No. The short answer is no. The light commercial business continues to be weaker than we expected, and we believe that will continue through '25. We don't have the same visibility in the light commercial business that we do in the heavy commercial business. So we'll know better as we get towards the end of the year, what '26 is going to look like. But that continues to be the weakest part of our end markets by far at this point. But we felt very good in the quarter that the strength in heavy commercial offset that light commercial weakness.
Unidentified Analyst: Got you. I appreciate that. And then going back to multifamily -- when do you think that trend will start to kind of hit results. And I know you mentioned 2026. Is that how we should think about it?
Michael Thomas Miller: Yes, I think it's 2026. I mean, depending upon how things go and the movement of projects kind of through the backlog, we might see a little bit of benefit towards the end of '25. But I really think it's more of a '26 story. And it may even not get positive until we get into the second or third quarter of '26. But we're very encouraged with the bidding activity, what's happening with the backlog. And as I mentioned earlier, the ability of CQ to really cross-sell the complementary products into the multifamily projects that we're working on.
Operator: Our next question comes from Collin Verron with Deutsche Bank.
Collin Andrew Verron: So it sounds at least some of the market outperformance is geographic mix driven. But when you look within the geographies that outperform, are you taking share within those markets? And any sense to give us -- any way to give us a sense of what those share gains might look like within those markets that you called out?
Michael Thomas Miller: Yes. I mean, certainly, in specific markets, we're gaining share. But as we've stated previously, our objective is for our customers to gain share and that for us to gain share through our customers. So it's really about working with the best customers in the marketplace that we believe are going to be most successful from a market share gain. And we really -- as just as a business model, if you will, or a strategy, that has been our objective from a market share perspective is to really work with those customers to grow share that way as opposed to taking share from another competitor.
Collin Andrew Verron: Understood. Okay. And I guess just following up on that then, like based on what your customers are doing from a market share perspective, I guess, how sustainable do you think these market share gains are, call it, over the next 12 months, just based on what you're hearing from them. 2Q seems very meaningful. So I'm just curious as to how sustainable some of those trends are.
Michael Thomas Miller: I mean it's difficult to say. But I think fundamentally, as we commented and I think a lot of people have commented, we do think that the single-family and multifamily markets are going to become more challenging in the second half. Again, as I was saying on the multifamily side, we think it's setting up for a good '26. I think there's still -- on the single-family side, I think there's still quite a bit of uncertainty, not just the rate environment, but on the jobs front. And clearly, affordability is challenged. So I think that as we look at it and we talk to customers about it, there's still a bit of uncertainty about what '26 is going to look like. So we think that those challenges are definitely going to persist in the second half. And clearly, we're going to be impacted by those challenges. But as we demonstrated in this quarter, I think our team is going to do a very effective job of managing in a very difficult environment.
Operator: Our next question comes from Ken Zener with Seaport Research.
Kenneth Robinson Zener: On gross margins, could you talk to the current quarter margins versus kind of your long-term targets, just the baseline. And can you address the current factors that you are thinking might abate or just a mix issue relative to that spread that we see today? And I'm trying to ask because the time to gross margins versus your long term, I believe, is, right, you're highlighting large or private regional builders versus the public and that probably washes out when you think about operating leverage. But can you maybe give us a sense of how that spread plays into it in your answer?
Michael Thomas Miller: You mean the difference between the publics and the regionals.
Kenneth Robinson Zener: Right. Because I mean, if you just -- right, if the publics have a lower gross margin, but do you get better SG&A, considering people are trying to understand that dynamic.
Michael Thomas Miller: Well, I mean it's -- we've talked about this on multiple quarters. The gross margin from the regional and local builders is higher. It's a higher average job price, but the cost to serve is higher, and that's reflected in higher SG&A. I mean if you look at the quarter, selling expense is exactly where we would have expected it to be at about 4.7%, which is what it was the second quarter last year. G&A was a little bit higher than we would have expected. But the growth in G&A from the first quarter of this year to the second quarter of this year was all driven by higher variable compensation, which is a direct result of the really strong results on EBITDA and profitability. So I think everybody knows that we have a highly variable compensation structure, particularly at the branch level. And for the branches that outperformed, they got paid for that outperformance.
Kenneth Robinson Zener: Good. And then I asked you this last quarter, and it sounds like you guys are really focusing on it now, but the private regional resilience versus the public data, I think it is or was underappreciated. Based on the public builders, we're getting visibility into the first half of '26 based on their year-end inventory units kind of being down. Can you provide or expand on any comments for what you're seeing on those privates or the regional builders because we can't see that outside of the Census inventory data, which -- I'm not making a BLS comment, but I'm not sure it's onerous as it's presented. But if you could provide us some context there given that's upwards of 70% of your business.
Michael Thomas Miller: Yes. So I think what's important to note there is the regional and local builders have much higher market share in the top half of the country versus the bottom half of the country. And I think everyone on this call is well aware of the fact that the top half of the country right now on the single-family side and even the multifamily side is doing better, is performing better than the bottom half, and we have historically been overweight top half of the country. So one of the things and one of the reasons why we're performing as well as we are is just our geographic, historical geographic concentration in some of the markets that are just performing above the overall markets. Florida being even a great example of a we are definitely benefiting from our geographic footprint.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Jeff Edwards for closing comments.
Jeffrey W. Edwards: Thank you for your questions, and I look forward to our next quarterly call. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.